Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2010 The Bancorp Incorporated earnings conference call. My name is Francis [ph] and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference at which time you may press star one to participate. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to our host for today's call, to Andres Viroslav, Director of Corporate Communications. You may proceed.
Andres Viroslav: Thank you, Francis. Good morning, and thank you for joining us today to review The Bancorp's third quarter 2010 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer; Frank Mastrangelo, President; and Paul Frenkiel, our Chief Financial Officer. This morning's call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 11:30 AM Eastern Time today. The dial-in for the replay is 888-286-8010 with a confirmation code of 49608171. Before I turn the call over to Betsy, I would like to remind everyone that when used in this conference call the words believes, anticipates, expects, and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties, which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties, please see The Bancorp's filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements, which may be made to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. Now I'd like to turn the call over to Betsy Cohen. Betsy?
Betsy Cohen: Thank you very much, Andres. And good morning to all of you. Thank you for joining us today. Generally, we at Bancorp lead off with the purpose of the description of the progress of the quarter. But today, I’d like to deviate from that old deposit story to talk first about what we think is improvement in our credit profile and maybe a reflection of what we’ve been working so hard for and to discuss non-interest income, which is again moving forward subject to our having identified it as a growth area about a year ago. On the credit side, I think the first meaningful statistic to focus on is that all delinquent loans and non-accruals, which were in aggregate on a linked quarter basis $36 million in June, or for the September quarter, $26 million, a significant reduction. And I think when you take into account that of that $26 million, $2.5 million is in the 30 to 89-day category, and that in that category, for the June quarter, the category of 30 to 89 days and 90 day is still accruing, aggregated about $18.7 million. And that $18.7 million has been reduced in the 9/30 quarter to $6.7 million. The improvement in the portfolio came about almost an equal part through a write-off and recognition of loss and through paid-off loans either through sales or financings away from us. And I think the last piece of the puzzle, so to speak, is that the provision for June 30 was $5.8 million, reduced in the 9/30 quarter to $5.1 million. In the non-accrual component – non-performing component, which is the bulk of the number, I have to point out that we have $5 million to $7 million in residential loans that are subject to agreement of sale but located in Safe Life [ph], New Jersey, where the foreclosure process is a 23 months commitment. And we hope that we are now coming toward the end of it and will be able to realize the benefit of moving those off our books by completing that process and activating the agreements of sale. But we think we’ve made progress there still is a world in which the economy has not greatly improved nationally, but where we happen to be in an area where the depreciation and owned values over the course of the last year has been modest and even over the course of the last two to three years, as you measure it against the rest of the country. So we think that we will be helped by our geography which represents – the 12-county area around Philadelphia represents the bulk of our portfolio, which is in the community bank portfolio. And so we are delighted we are not in other parts of the country. But on a going forward basis, we continue to generate new loans. I think the net new loan number masks the real activity because there are continued pay-downs, whether it be through the reduction of construction loan of portfolios or other elements. And so we are generating in excess of that – new loans in excess of that net loan growth. I guess the other component of forward-looking loan strategy we have been discussing with you and we are beginning to see that the green shoots, so to speak, of the strategy. And that’s in our SBA, USDA effort of where you should see the first of those loans come to the balance sheet during the fourth quarter. It’s always hard to estimate when one is dealing with guaranteed loans what the exact closing date is. So I’m reticent about making an estimate as to the amount. The other element, which is part of our strategic focus and present and forward-looking focus, is really we can figure into some extent our emphasis on one business line over another in order to adjust the issue of net interest margin compression in this interest rate environment. And that’s to generate a non-interest income on an ongoing basis. We begin to see the benefits of that. I think we began to see them in demonstrable way at the beginning of this year, but if we look because our business is seasonal to compare the 9/30/09 quarter with the 9/30/10 quarter, we see an increase from approximately $3 million of non-interest income to approximately $5 million of non-interest income. We are very focused on this. We have internal measurements that are driving it. It takes time for that portfolio to come to the floor and mature, because as you know, there are often long lead-times on customer relationships. But we think investing our market edition or market share within these lines of business is a very worthwhile thing to do and we are continuing to do that kind of investments. But it would not be a quarter at Bancorp without having deposit growth. And this certainly is a quarter-end, which we can reflect favorably upon that. And I would ask Frank to pick up now and review for you the significant growth in the various lines of business. Frank?
Frank Mastrangelo: Thank you, Betsy. As many of you know, the third quarter is always our strongest quarter from a deposit generation standpoint, including the generation of some seasonal deposits that we expect to flow off balance sheet in the fourth quarter. At the same time, we do retain a significant portion of the third quarter growth grow again in the first quarter and then reach what is typically our annual low in the second quarter of the year. Third quarter deposit growth continued to be very strong driven from our private client unit and our merchant and prepaid units. The growth rates in each of those business lines continue to be strong. As we look at them on a year-over-year basis, so taking into account any seasonality, private client has grown deposits of over 120% year-over-year. Our prepaid business has grown deposits over 57% year-over-year, with merchant up a little over 22% year-over-year. These business lines continued to generate low-cost stable deposits for the institution and help drive down the Bank’s total cost of funds.
Betsy Cohen: Thank you, Frank. We are having success in the marketplace through the work of Frank and the team that he leads and in the acquisition of deposit contracts. Those contracts remain in the three to five and mostly five-year range with renewals being on a five-year basis. We look forward to providing continued own service levels, which will make us a ready choice for new customers across our business lines. I think one area that’s grown significantly and represents a new opportunity that we introduced – that was introduced to the balance sheet, I believe, about a year ago is in the private client area, not all of private client, and doing that for a while. But we had the opportunity to design the methodology for and oversee the growth of an aggregation program within money market accounts. And we think that’s something that we will be able to apply to additional businesses and look forward to that growing significantly. It grew over 100% on a year-to-year basis. And although those are high numbers to promise, which we don’t, we do anticipate working very hard on that line of business, which we sometimes don’t talk about. I’m going to close now and ask Francis, if she would open up the floor to – or the phones to questions.
Operator: Thank you. (Operator instructions) Our first question is from the line of John Hecht with JMP Securities. You may proceed.
John Hecht – JMP Securities: Good morning, guys. Thanks for taking my questions. Can you give us some information about the loan originations and composition, maybe this new spreads on the new loans and maybe characterize your pipeline at this point?
Betsy Cohen: I think we continued to have inbound loan requests from our community – our very deep community bank customer base. We have been cherry [ph] about, because we ourselves feel not unlike the rest of the federal government, I guess, a lack of certainly about various areas within the economic fear. But we continue to do what we’ve done over a long period of time. In addition to that, as you know, we’ve spent significant time building the infrastructure to originate and absorb SBA USDA loans primarily focused on franchisors that we have underwritten and to whom we’ve assigned a series of guidelines. And we have been busy building our portfolio of those referring sources. It’s the model – the business model that we use for deposits, John, and we think it’s a good model for us in the loan area as well. The SBA deals are approximately two and three quarters over time. And we haven’t closed enough of them yet to tell you whether that’s a real yield or not, but that is in fact a stated deal.
John Hecht – JMP Securities: I guess, this quarter of the gross originations, it seems like an increasing component or percentage might have been from SBA and maybe direct financing leases as well. Is that fair?
Betsy Cohen: No, I don’t think you see the SBA in this component. Maybe $1 million or $2 million, but really nothing significant. That’s why I was saying I think you’ll begin to see it in the fourth quarter. On the lease – the small fleet leasing business that we’ve done, we will, I think, year-over-year buy a significant amount from about $80 million to little over $100 million, $103 million in that component. And even on a linked quarter basis, the growth in that area was from about $96 million to $103 million. The yields on those loans are in the 8.5% range. So obviously, consistent with good set of practice, we are trying to increase those loans. On less yields but also less management incentive, we have originated – we continued to originate through our private client relationship, security bank lines of credit. And those yields in the area of 3.5, and on an outstanding basis, moved from about $170 million to about $195 million, these are round numbers, year-to-year, and up a couple million dollars on a linked quarter basis, about $3 million on a linked quarter basis. So we are trying to (inaudible) the loans. We’ve just recently announced a new relationship. And Frank, do you want to talk a little bit about NATCO?
Frank Mastrangelo: Sure. One of the – the relationship that she is mentioning, National Advisors Trust is an expanding private client relationship where we will be providing something more like the solutions that we provide to SEI, integrating both cash management services and lending services in the form of the securities-backed line of credit that will allow NATCO to hold on to products that look similar to Merrill’s CMA. It’s a large, say, co-op, non-bank, limited purpose trust company owned by its members and represents with a pretty significant opportunity for growth.
Betsy Cohen: So those are three components, one of which in the securities-backed line of credit, you see our natural and continuing growth, which has – for a product that’s been with us for a couple of years, and we continue to grow. You see the introduction after a significant period of involved with infrastructure controls building for SBA, USDA loans. And you see again a continuing line of business, which was on pause, so to speak, when there were so much turmoil within the automobile sphere and which we feel comfortable growing once again. So I think it’s a mix of things. John, does that answer your question?
John Hecht – JMP Securities: Very well. There is a lot of detail there. Thank you very much. The second question is related to credit. It sounds like you are characterizing it as you are seeing, I guess, NPA early-stage delinquency formulation flow slow and you are working through some of the non-accruals. At this point, do you feel comfortable saying that credit is improving in the portfolio or are you still a little hesitant to make that call and just given the accurate data?
Betsy Cohen: Yes. You know me. I’m hesitant about everything and cautious. But I can say that we did see a significant improvement in this quarter.
John Hecht – JMP Securities: And one quarter doesn’t make a trend. Do you want to wait a few more –?
Betsy Cohen: Well, I mean, I could tell you that I think that we are over the hump and all the rest of those words that people use. But being the cautious person I am, I would like to say to you that we saw a lot of improvement in this quarter and we are very hopeful that we will see continuing improvement.
John Hecht – JMP Securities: Okay. And then last question, just on the non-interest expense, a little over $16 million, does that bear all the cost system, the new loan origination things you brought in or would that bump up a little bit if you kind of quarterize [ph] or bring in the full cost (inaudible)? I’m just wondering what a right base is there.
Betsy Cohen: I think that we continue to try to be more efficient within our organization. And so that means we find new ways to do things. We bring on originators. We will be bringing on within our deposit gathering. We think we have a big opportunity just at this moment to grow our portfolio. And so we will be bringing on, but you may not see it for a quarter or two. Some new folks, not a lot, in that area. And so it’s – but the salary line is fairly flat, up a little bit, but not that much. But it includes everything – I mean, everything we are doing. I’m sorry, I think I misunderstood your question, which is just dawning on me. If you are asking whether it reflects the building of infrastructure for the SBA-USDA team, it does. That began to come in maybe a year ago and has been seeding in. But it reflects that whole team.
John Hecht – JMP Securities: Great. Thank you, guys, very much.
Betsy Cohen: Okay.
Operator: Your next question comes from the line of Bob Ramsey from FBR Capital Markets. You may proceed.
Bob Ramsey – FBR Capital Markets: Hey, good morning.
Betsy Cohen: Hi, Bob.
Bob Ramsey – FBR Capital Markets: I was a little bit surprised by the margin compression this quarter. Could you sort of talk about that a little bit? Was it mostly due to the growth in interest-bearing deposits, and kind of what is the outlook from here?
Betsy Cohen: Yes. Paul Frenkiel is here and he is an expert.
Paul Frenkiel: Okay. One of the reasons for the decrease in net interest margin was the point that Frank alluded to earlier that we have seasonal deposits. And so we have inflated deposits, which we maintain with the Federal Reserve Bank on short-term investments. So if you normalize for those seasonal deposits, we are in the 3.40 to 3.50 range for the margins. That is lower than the same quarter last year, and we do have some lower yields – lower asset yields, but we are still looking at the deposit base. And as we speak literally today and in the coming weeks, we are looking at additional interest rate reductions. So that should have a positive effect.
Bob Ramsey – FBR Capital Markets: Okay. So going forward, if you kind of normalize out the flows of the deposits, your, I’d just say, sort of the core margin you would expect to expand from here, or just with asset yields continuing to fall, does the funding benefit mitigate it, but maybe not completely offset it?
Paul Frenkiel: I think going forward you can use – normalize it about 3.40, 3.45. And I would hesitate to say that to look at increases, we will benefit obviously if interest rates increase, but we’re not looking for that to happen obviously in the next couple quarters. So until that happens, I would say the current adjusted net interest margin about 3.40 is what we are looking at.
Betsy Cohen: I think one of the difficulties we have been saying to you that there will be expansion is that it’s very hard for us to predict at this time the growth in our targeted asset classes, the exact timing of, not that we will have growth, we think – we believe that, but the timing of that growth. And certainly if we were, for example, to double our small fleet leasing business this quarter, which is unlikely, we would then benefit greatly on the yield side. So I think it’s a timing issue. It’s how those asset allocation strategies play out over the course of the next couple of quarters.
Bob Ramsey – FBR Capital Markets: Okay. Thank you. And then I guess the next question I’ve got for you has to do with the deposits. I know you ran through the numbers, but I’m not sure I’ve account them all. I think you said that the prepaid deposits were up year-over-year 57% and merchant was up 22%. Could you give me the numbers for the HSA business and private client community bank? You may have given it, but I think I just missed them.
Frank Mastrangelo: Actually we didn’t have the specific numbers, Bob. But if you are interested, healthcare was $400.5 million, private client was $403.3 million, and merchant was $65 million.
Betsy Cohen: I think he is asking what was the percentage of growth year-over-year.
Bob Ramsey – FBR Capital Markets: Either way, I mean, it gets me to the same point. So –
Frank Mastrangelo: So the healthcare growth was actually 44.8% year-over-year. And which other one did you mean?
Bob Ramsey – FBR Capital Markets: The private client and community bank, please.
Frank Mastrangelo: Private client was 121%. And community bank deposits ended at $230 million for the quarter.
Bob Ramsey – FBR Capital Markets: Great. Thank you. And maybe last question, could you just give a little bit of update on the municipal securities portfolio and what you were able to do this quarter in that portfolio and what your plans are going forward?
Betsy Cohen: Sure. I just want to say one thing before I turn it over to Paul to answer that question. And that relates to the growth in merchant deposits, which Frank said was 22%, not only is it’s a matured business for us, but it is a business where the benefit of the business is not all in the deposit gathering. A lot of it is in the non-interest component. And so the deposits themselves sometimes would be in the line of business for deposits are not the driver, but non-interest income. So, Paul, on the municipal?
Paul Frenkiel: Sure. We actually are now breaking that out separately in the press release on the average balance sheet. So you can see that we had non-taxable securities on average of about $55 million in the three months ended September 30 on average. And we’re continuing to very carefully with great care and with an outside advisor who in addition to our own credit analysis performs their own. We continue to add to that a portfolio. We currently have about $90 million in total in the municipal securities.
Bob Ramsey – FBR Capital Markets: Okay. So the average for the quarter was $55 million and change, and then end of period was $90 million. Is that correct?
Paul Frenkiel: Correct.
Bob Ramsey – FBR Capital Markets: And what was the average in the second quarter since I don’t think it was broken out in that period?
Paul Frenkiel: I can track that down.
Betsy Cohen: Bob, maybe we can come back to that number, which Paul is leafing through a very large book to find.
Bob Ramsey – FBR Capital Markets: Okay, that would be great. That’s all I have. Thank you.
Betsy Cohen: Okay.
Operator: Your next question is from the line of Matthew Kelley with Sterne, Agee & Leach. You may proceed.
Matthew Kelley – Sterne, Agee & Leach: Yes. Hi, guys. I was wondering if you might be able to just give us a little bit of commentary on what you think will come out in terms of the outflow rates on deposits and the seasonality in the fourth quarter, help us quantify that a little bit. I’m looking back to Q3 of last year, deposits went up 20% and then came down 7% in the fourth quarter. Is it that same type of relationship, about half of the growth is reversed in the fourth quarter?
Betsy Cohen: I think we think it’s in the nature of that, but not maybe quite as severe. Frank, do you have a different view?
Frank Mastrangelo: No, I think that’s absolutely accurate. I think it should mirror pretty closely to last year, Matt, but maybe not quite as severe. Less than half, maybe closer to 40%.
Matthew Kelley – Sterne, Agee & Leach: Okay. All right. Got you. And just a question on – you got this really significant deposit growth. I mean, period end, you are about $600 million, $700 million year-over-year. But the overall securities portfolio is only up modestly. So you have this massive liquidity position. Is there anything besides the municipals that we are going to see in the quarters ahead to kind of draw that liquidity down and help the overall spread income?
Betsy Cohen: Yes. Paul is going to answer that.
Paul Frenkiel: Yes. We are also buying some short-term agency CMOs of fairly predictable. The yield isn’t terrific because, again, we are very risk-averse. But in line with your comment, we are trying to take money out of 25 basis point Federal Reserve Bank balance and getting into something higher than that. So we should yield in the area of perhaps 0.8% on those investments, but we are being very careful because there is a little bit of prepayment risk there. So we will deploy some of those balances very carefully.
Matthew Kelley – Sterne, Agee & Leach: Okay. And can you help us kind of quantify where you think the securities to asset ratio will drift over time, over kind of full year time horizons so we get a better understanding of the composition of earning assets?
Paul Frenkiel: Yes. If you look at the industry, it’s generally 15% of the balance sheet or somewhat higher. So I think 15% on $2 billion would be at least $300 million. And in line with your previous question, to the extent we can feel very safe with the short-term investments, it may be higher than that on a short-term basis.
Matthew Kelley – Sterne, Agee & Leach: The short-term is going to be in the municipals and those agency CMOs you’re saying?
Paul Frenkiel: Yes. We’re actually able to find some short-term municipals, but it’s hard to – difficult to get our yield (inaudible). And so we are looking at other things that we can buy in larger quantity. But it really depends on our assessment of the value of the CMO. We bought – we purchased about $60 million of them with the average life of about six to nine months. But it’s a very thinly traded market, and we don’t really see the value in there right now. If we see value again, we’ll purchase more. There are also other short-term investments we’re looking at, but the pickup over the 25 with the Federal Reserve Bank, if not great. So it really depends – if we’re able to something with a decent spreads that’s very safe, we will do more.
Matthew Kelley – Sterne, Agee & Leach: Okay.
Betsy Cohen: We’re looking all the time.
Matthew Kelley – Sterne, Agee & Leach: Got you. And then I was wondering if you can just talk about the NetSpend opportunity. Obviously, some public documents out there indicating that you have a letter of intent to do business with them. And help us understand what that opportunity would look like for you folks. I look at gross dollar volume of transactions. And give us a sense of the type of fee income and deposit balances and just pick a hypothetical number of $1 billion of gross line of transactions.
Betsy Cohen: I will turn this over to Frank, but I do want to push him and say that we always see opportunity, but it’s hard sometimes to size it exactly, because one never knows whether a letter of intent would translate at all, would translate into a 100% of the business, would translate into 20% of the business. It’s very hard for us to be predictive on that basis at this stage of our discussions or in any contract until it is signed. But – and I think you know that I’m just like reading Frank, is it right, so to speak. But Frank, go ahead.
Frank Mastrangelo: Yes, sure, sure. As I know you know, we would never also really comment on one particular client’s business in any business line. So, sort of making us a hypothetical with a $1 billion of gross dollar volume in a general purpose reloadable program typically mean for Bancorp. I’m just using some back-of-the-envelope ballpark-type estimates. I would say average deposits of a program that looked like that might be in $20 million range, plus or minus. And non-interest income would probably be in the – it's tough to say, but I would say, maybe $600,000 to $800,000. $600,000 to $800,000 –
Matthew Kelley – Sterne, Agee & Leach: That’s your share of the fees?
Frank Mastrangelo: That would be – that is Bancorp’s share of a general purpose reloadable program with GDV at about $1 billion in year one.
Matthew Kelley – Sterne, Agee & Leach: Yes. Got you. And where were you running on, on GDV in the third quarter in your entire stored value business?
Frank Mastrangelo: Sure. Our gross dollar volume of the prepaid business in Q3 was just shy of $1.6 billion.
Matthew Kelley – Sterne, Agee & Leach: Okay. Versus a year ago, do you have that?
Frank Mastrangelo: Yes. Q3 last year was $828 million. That’s up almost 93% year-over-year.
Matthew Kelley – Sterne, Agee & Leach: Okay. And what was the actual stored value revenue in the quarter, the income – the fee income?
Frank Mastrangelo: You know what, Matt? I don’t have that number right in front of me.
Matthew Kelley – Sterne, Agee & Leach: Okay. How did it – up from – last quarter it was 2.5, sort of reference point. I’m just trying to –
Betsy Cohen: We’ll get that to you, Matt, offline.
Matthew Kelley – Sterne, Agee & Leach: Okay. All right. Great. One other question, just I wanted to follow up –
Frank Mastrangelo: I’m sorry, Matt. So it was – so, for the third quarter 2010, it was just shy of $2.8 million. And that was just shy of $2.0 million in the third quarter of 2009. So 42% year-over-year.
Matthew Kelley – Sterne, Agee & Leach: Okay, got it. Got it. And following up on the expense question that kind of started the call here, what is an appropriate longer term expense growth rate that we should be looking at as you continue to build all these business lines? I mean, is it going to grow north of 10% or do you think we will see some operating leverage here and drift closer to single-digit – high-single digit type expense growth rates for the overall operation?
Frank Mastrangelo: Paul?
Paul Frenkiel: Sure. Yes. I think that will be lower going forward. And bear in mind that our current non-interest expense includes elevated credit costs expenses, legal and other expenses that at some point should be lower. So – and we also are working on other expenses in terms of controlling them. But I think it will be a couple quarters before we normalize, but I would expect that it would be certainly single digits.
Betsy Cohen: I think, Matt, if you look at the salary line alone, you will see the last four quarters, the low was $6.238 million and the high was $6.468 million. So I think you’d see relative flatness there. There at some extent if we cannot control non-interest expenses, the FDIC in the last four quarters on a double. So there are non-controllable components as well as controllable components.
Matthew Kelley – Sterne, Agee & Leach: Understood. And then last question I would have is – you have this massive kind of growth trajectory, but it’s been a little bit disappointing in terms of what’s dropped to the bottom line. It appears that we are finally at an inflection point where in 2011 we’re going to start to see some of that drop to the bottom line with leverage points around the income statement and the growth rate to be increased significantly. Is that a fair characterization? I mean, I look at the last eight quarters and it hovered around $0.02 to $0.05, $0.06, $0.07. And the overall profitability has been modest. But would you agree with the assessment that we are reaching an inflection point here now where the overall growth of the balance sheet is going to produce more significant bottom line net income?
Betsy Cohen: I think that’s a fair assessment. It’s in – obviously we don’t make estimates forward-looking or guidance or those kinds of things. So our best answer would be that we’re hopeful you’re right and we’re working toward it.
Matthew Kelley – Sterne, Agee & Leach: Okay. All right. Thank you.
Operator: Your next question is from the line of Andy Stapp with B. Riley & Company. You may proceed.
Andy Stapp – B. Riley & Company: Good morning.
Betsy Cohen: Hi, Andrew.
Andy Stapp – B. Riley & Company: Just a couple of clarifications. The $6.7 million you talked about in delinquencies, was that total delinquencies or 30 to 89?
Betsy Cohen: No. It’s 30 to 89 plus 90-day in Philly.
Andy Stapp – B. Riley & Company: Do you have just the 30 to 89-day component?
Betsy Cohen: It’s about $2.5 million, give or take a few.
Andy Stapp – B. Riley & Company: Okay. And what was driving your large increase in net charge-offs? And also looking at the provision down with the charge-offs being up, is it just a function of these charge-offs are applied against – a bulk of these charge-offs are applied against existing reserves?
Betsy Cohen: Yes, it was. And I think we thought that as the write-offs were required by our valuation. I think that’s either some events occurred or some other element, which made it clear that this is the appropriate time for the write-off.
Andy Stapp – B. Riley & Company: Okay.
Betsy Cohen: If there is more to your question, I’m happy to answer it, but that’s what I understand you to be asking.
Andy Stapp – B. Riley & Company: Yes. I’m just wondering why the charges are up substantially, but the provision is down. I was just trying to reconcile that.
Betsy Cohen: Well, remember that we also had about $9 million in payout, financing, whatever have you. So that too took a bite out of without those – or that component took a bite out of the less attractive end of the loan portfolio.
Andy Stapp – B. Riley & Company: Okay. And just another clarification. When you are talking about the 3.40 margin now, it’s a full year run rate. Correct?
Paul Frenkiel: That was the normalized for this quarter, and our goal clearly is to maintain it at that level. There are couple things supporting that. One is the municipal security purchases. And to answer the question, it was – the rates earlier, in the last quarter, we averaged about $31 million in municipals. So those long-term municipals of 6% are clearly supportive of the margin. As Betsy said, the growth in the 8.5% yielding directly financing is supportive. And our fixed rate loans, the ones we’re currently making, are also – to the extent they are higher than the 3.40, are also contributing to the margin as well. So that’s our goal going forward to at least maintain that.
Andy Stapp – B. Riley & Company: Okay. And there has been some chatter about banning prepaid cards due to money laundering concerns. Just curious what your thoughts are on this matter.
Betsy Cohen: Frank can think about money laundering.
Frank Mastrangelo: Andy, we have a very, very significant investment in platform and infrastructure related to AML and BSA monitoring. I don’t know that I’ve heard any chatter about banning prepaid cards, but are certainly aware of new rules, regulations and oversight requirements that Fin [ph] and some of the other regulators have been contemplating. And what I can tell you is that looking at the new slate of rules that are being proposed, we believe that it’s just another opportunity to cause great disruption in the space and will likely raise the bar for those that can afford to sponsor program. In essence, it will continue to increase the cost for some in a manner where if you don’t have scale, you won’t be able to play in the industry at all.
Andy Stapp – B. Riley & Company: Got you.
Betsy Cohen: And I think that’s a very important point that Frank has made and answered to your question, Andy, because we continue to talk about growth in deposits and growth in non-interest income and whatever have you. But it’s really a strategy, which is geared to having the sale to be able to do these businesses effectively, safely and profitably.
Andy Stapp – B. Riley & Company: Okay. Thank you.
Operator: And your next question is from the line of Frank Schiraldi from Sandler O'Neill. You may proceed.
Frank Schiraldi – Sandler O'Neill: Good morning.
Betsy Cohen: Hi, Frank.
Frank Schiraldi – Sandler O'Neill: Just a question on credit. I mean, I think you know answer to this, but given what credit did one quarter, obviously you saw some improvement, I would say, at the bank level. I mean, anecdotally and just what you are seeing elsewhere and sort of your everyday – in the economy, the actual local economy, are you seeing the signs of improvement in credit? Are you seeing signs of stabilization in appraisals? Just give a little color there.
Betsy Cohen: I don’t think in our particular area, the area into which we lend, that stabilization – or lack of stabilization of appraisals has really been the issue. They may go up or down 10% or wherever they have been, but I think over the last quarters, that’s not absolutely a driving issue. I think anecdotally in the 12-county area, we think that there is a certain amount of acceptance of the new norms of the level of activity. So if you want to call that stabilization, then people are now planning within their businesses. For that kind of level of activity, they have gone through that attitude or mental change. And in a way, that’s an improvement because they can then plan their businesses on a going forward basis. They have benefited as individual businesses to the extent that they are doing more with fewer employees. But if that’s benefiting the whole MSA, that’s really a hard thing to say. We are in an area in which we do have drivers of growth. We have education to a great extent. We have healthcare in one form or another to a very significant extent. We have public projects, so to speak, hospitals and research labs and that kind of things, which help in the construction area. So, all of these are drivers of a stabilized economy, but maybe at a lower level than it was five years ago or three years ago. I’m not sure. Does that answer your question?
Frank Schiraldi – Sandler O'Neill: That’s helpful. Thank you. And then we saw the release a couple days ago from – concerning NetSpend. And just stepping away from that specific business, is reloadable prepaid cards, reloadable debit prepaid, is that the strongest potential for growth here?
Betsy Cohen: Frank, would you like to –?
Frank Mastrangelo: Sure. I think probably it is, for a number of reasons, Frank. First of all, there are many new and emerging potential partners, folks on that particular niche of the industry, first of all. And secondly, we acquired the Sioux Falls stored value footprint back in 2007, that was actually a fairly small component of the overall business. So it’s represented a pretty substantial growth opportunity almost from the moment we made the acquisition. And we have grown that segment of the business very significantly over the last couple of years.
Frank Schiraldi – Sandler O'Neill: And if you just pull out – I don’t think your whole prepaid – your whole prepaid deposit balances, I think, are like, what, 40% or so of total deposits. That’s not all what you would characterize as a reloadable prepaid debit card that’s sort of to the under-banked market. Is that –?
Frank Mastrangelo: Correct. There are other types of programs in that line item. Also corporate incentive programs, benefit programs, our FSA travel, some HSA card issuing actually in the line item for debit cards. Other types of programs like that are all encompassed in that line item.
Frank Schiraldi – Sandler O'Neill: So what would say as a percentage of total assets is reloadable prepaid debit?
Frank Mastrangelo: I don’t have that right on hand.
Betsy Cohen: The percentage of deposits that that represents, is that what you are asking?
Frank Schiraldi – Sandler O'Neill: Yes.
Betsy Cohen: Well, we don’t have it right there in front of us. Certainly something will – we may not have that granularity right in front of us, but we’d certainly get back to you.
Frank Schiraldi – Sandler O'Neill: Okay. And I would assume that it helps in terms of – it would help – as you grow that business, it would help in terms of like the deposit seasonality issue as those were seasonal.
Frank Mastrangelo: They are less seasonal to some degree. So it definitely can’t help there. Those programs typically tend to be – although they do drive deposits, deposits compared to gross dollar volume is actually smaller. What those programs do though is drive very nice non-interest income for the institutions.
Betsy Cohen: – which relates back to what we were discussing earlier in the call, which is that we’re trying to weight business lines to drive non-interest income. I’m sorry, Frank, I interrupted you.
Frank Schiraldi – Sandler O'Neill: And – okay, great. Thanks for that. And then just finally, Frank, you had mentioned about – in response to another question about the – if you had a gross dollar volume, I think, of $1 billion, you gave what the average deposits falling off that will be or coming off that would be around the $20 million range. What – that gross dollar volume of $1 billion, what would that imply in terms of like amount of cards? I’m trying to get sort of a – what I’m trying to do is get sort of an average deposit balance of your average reloadable prepaid debit card.
Frank Mastrangelo: I don’t know if you want to do this offline, Frank. I mean, I can sit here in front of a calculator –
Frank Schiraldi – Sandler O'Neill: Yes, yes. If you want to, I can – I'll give you a call. Yes, I don’t want to take up – thank you.
Frank Mastrangelo: Yes.
Betsy Cohen: Thank you, Frank.
Operator: At this time, there are no other questions in the queue. I’d like to turn the call over to Betsy Cohen for closing remarks.
Betsy Cohen: Thank you, Francis. And thank you all. You always challenge us to think about our business deeply and in appropriate ways, and we are grateful to your joining with us on this call. Thank you.
Operator: And ladies and gentlemen, thank you all for your participation in today’s conference call. This concludes the presentation, and you may now disconnect.